Operator: Good day, and thank you for standing by. Welcome to the Crane NXT Second Quarter 2024 Earnings Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions]. Please be advised that today's conference is being recorded. I will now like to hand the conference over to your speaker today, Christina Cristiano, Chief Financial Officer. Please go ahead.
Christina Cristiano : Thank you, operator, and good morning, everyone. I want to welcome you all to the second quarter 2024 earnings call for Crane NXT. Before we begin, the slides we will reference during this presentation can be accessed via the Investor Relations section of our website at cranenxt.com. A replay of today's call will also be available on our website. Before we discuss our results, I encourage all listeners to review the legal notice on Slide 2, which explains the risks of forward-looking statements and the use of non-GAAP financial measures. Additionally, we refer you to the cautionary language at the bottom of our earnings release and in our Forms 10-K and 10-Q filings pertaining to forward-looking statements. During the call, we will also be using non-GAAP numbers, which are reconciled to the comparable GAAP numbers in the tables at the end of our press release and accompanying slide presentation, both of which are available on our website at cranenxt.com in the Investor Relations section. With me today is Aaron Saak, our President and Chief Executive Officer. On our call this morning, we will discuss our financial results, provide an update on the OpSec acquisition and update our 2024 guidance. After our prepared remarks, we will open the call to analysts for questions. Now let me turn the call over to Aaron.
Aaron Saak: Thank you, Christina, and good morning. We appreciate everyone joining the call today to discuss our second quarter 2024 results. Before we begin, I'd like to take this opportunity to thank our NXT associates around the world for their efforts to deliver solid performance this quarter. Our second quarter performance was in line with our expectations. Sales increased 5% over the prior year, reaching $371 million, driven by the acquisition of OpSec. I'm very pleased with the operational performance of OpSec and the progress we're making with integrating the business into NXT. Over the past three months, we've been meeting with many of our customers and the response to the acquisition has been very positive. We have clear line of sight to achieving the commercial and operational synergies that we identified when we announced the acquisition. We've hit the ground running to generate a funnel of new opportunities with our market-leading portfolio of online and physical authentication technologies and started implementing the continuous improvement fundamentals of the Crane Business System. We continue to be very excited about OpSec and what it means for Crane NXT in executing our strategy of providing trusted technology solutions that secure, detect and authenticate our customers' most valuable assets. In Q2, Crane Currency continued to win new orders ending the quarter with a record high backlog. We also expanded share with existing customers by issuing 11 new denominations with micro-optics technology. Given the strong backlog and visibility into timing of shipments, we're raising our full year core sales growth for currency to 3% to 5%. Additionally, CPI had year-over-year core sales growth for the first time in four quarters. Inventories in the gaming vertical have normalized and the other verticals within CPI continue to perform as expected, growing at mid single digits. Finally, we continue to have a very active M&A pipeline. We ended the quarter with net debt-to-EBITDA ratio of approximately 1.8 times and positioning us well to further expand and diversify our portfolio with ample M&A capacity. In summary, our year-to-date performance and outlook gives us confidence to narrow our adjusted EPS guidance to $4.20 to $4.35. Moving to Slide 4. In connection with the acquisition of OpSec, we updated our reportable segments to better align our strategy of expanding our portfolio of market leading technologies that secure, detect and authenticate. The security and authentication technologies segment consists of the OpSec and Crane Currency businesses. In the CPI segment, we're seeing continued strength in many end markets. This includes vending, where our strong performance reflects new wins with existing customers and productivity initiatives that are improving margins. Additionally, in our services business, we continue to expand our offerings and acquire new customers with several new wins in the quarter, driving growth in recurring revenue. I'm also excited that Michael Mahan joined us this quarter as the new President of CPI. In this role, Michael is responsible for driving the CPI growth strategy, accelerating innovation and leveraging the Crane business system to drive continuous improvement in operational excellence. Michael is quickly acclimating the Crane NXT, visiting customers and traveling to our CPI sites around the world to meet our associates. I'm happy to have him on our team. As mentioned in the announcement of Michael joining, Kurt Gallo will be retiring in early 2025 after 16 years with the company. I'd like to personally thank her for his service and leadership over these many years. Overall, I'm incredibly excited about the future of Crane NXT the portfolio we're building and the leadership team we're putting in place. We are well on track to deliver our financial targets this year. We're operating from a position of strength as we continue to execute our strategy to further expand and diversify our portfolio and drive shareholder value. I'm now going to hand the call over to Christina to walk us through our second quarter financial performance, as well as provide more details on our updated 2024 guidance.
Christina Cristiano: Thank you, Aaron and good morning again. I would also like to express appreciation to our global associates for their strong execution this quarter. Starting on Slide 5. As Aaron mentioned, our second quarter results were in line with our expectations. Sales grew approximately 5%, reflecting the acquisition of OpSec security and core sales growth of approximately 1% year-over-year driven by growth at CPI. Adjusted segment operating margin of 27% reflects dilution from the OpSec acquisition and an unfavorable product mix year-over-year. Adjusted free cash flow was impacted by higher CapEx related to our continued investments in the US banknote redesign program as we discussed last quarter. Finally, adjusted EPS of $1.06 puts us on track with our full year guidance. Moving to our segments. CPI reported core sales growth of 1% in the second quarter, reflecting mid-single-digit growth across all end markets outside of gaming. Adjusted segment operating margin contracted 110 basis points year-over-year to 30%, reflecting unfavorable product mix due to lower gaming sales, partially offset by strong pricing execution and productivity initiatives. Looking across our markets, gaming performed as expected in the quarter, with customers continuing to draw down on inventory over stock. Gaming backlog has now returned to normal levels and we are encouraged by the new orders we are seeing from our OEM customers, which we expect to continue for the rest of the year. Outside of gaming our other end markets are growing as anticipated and we continue to expect full year revenue growth in the non-gaming verticals to be in the mid-single digits. Based on our backlog and the timing of new gaming orders, we expect CPI revenue for the remainder of the year to be slightly more weighted toward the fourth quarter. Moving to Security and Authentication Technologies on Slide 7. Sales grew 16%, reflecting the OpSec acquisition with core sales up slightly as higher US sales offset lower international volumes, which were impacted by the timing of shipments. Adjusted segment operating margin was 23% in the quarter, reflecting dilution from the OpSec acquisition and unfavorable mix in currency related to production of more lower denomination US notes in preparation for the next equipment upgrade cycle. As a reminder, this year we took some of our US paper making equipment off-line during the first quarter for upgrades to accommodate the new designs and technology for the US banknote series that commences in 2026. The first upgrade cycle went very well and we resumed production on schedule. We will have another upgrade cycle beginning in the fourth quarter of this year, which will continue into the first quarter of 2025. OpSec's performance in the quarter was as expected and we are on track to achieve the full year targets we communicated last quarter. As we look ahead to 2025 and beyond, we continue to see significant opportunities for margin expansion at OpSec using our proven Crane business system to drive productivity improvements in supply chain and manufacturing processes. Overall, we have very high confidence in our full year projections for security and authentication technologies. Our international currency backlog is up approximately 65% year-over-year and we now expect currency core sales growth of 3% to 5%, up from our prior range of 2% to 3%. Looking ahead, we have high visibility into the timing of our shipments and expect segment revenue to be slightly higher in the fourth quarter versus the third quarter. Moving to our balance sheet on Slide 8. Our net leverage ratio was approximately 1.8 times at the end of the second quarter, reflecting additional borrowings on our revolver to fund the OpSec acquisition. Our substantial free cash flow generation allows us to continue to focus on investing in organic growth and paying down debt while maintaining flexibility to deploy capital for future strategic M&A. Turning to our 2024 guidance on Slide 9. Based on our performance in the quarter and confidence in our outlook, we are narrowing our adjusted EPS guidance to a range of $4.20 to $4.35. In addition, given our strong currency backlog, we now expect currency core sales growth of 3% to 5%. The rest of our guidance remains unchanged. Now let me turn the call back to Aaron for closing remarks.
Aaron Saak: Thanks, Christina. In conclusion, throughout the second quarter, we continued executing our strategy and delivered another strong quarter in line with our expectations. Based on our performance, we raised the midpoint of our full year adjusted EPS guidance and we're confident in our outlook. Our strategic priorities remain unchanged and we believe they will create long-term shareholder value. We're investing in our core businesses, driving productivity through CBS and building a strong M&A pipeline to diversify and expand the portfolio. With this focus, I'm confident, we'll achieve our vision of growing Crane NXT to $3 billion in revenue over the next five years. So with that I'd like to thank you for your time this morning. And I'd also again like to thank our associates around the world for their commitment to delivering value to our customers and all of our stakeholders. With that operator, we're ready to take our first question.
Operator: [Operator Instructions] Our first question will come from the line of Matt Summerville from D.A. Davidson. Your line is open.
Matt Summerville: Thanks. Good morning. Maybe first, let's talk about the currency side of the business. I mean the thing that probably stuck the most to me was that the backlog there took a major step function up in the quarter beyond – well beyond last year's record level. Can you maybe talk a little bit Aaron and Christina, as to the drivers there. How much of that is the market versus market share versus timing of new denominational introductions? And what does this mean in terms of early – an early read on visibility to 2025 in that business?
Aaron Saak: Yes. Well, thanks for the question, Matt. Well I think you're, right. We're really encouraged here by the backlog in currency and line of sight it really gives us here in 2024. That's very helpful for us in terms of timing and understanding the cadence of the second half. That's what gave us confidence to raise the sales guidance, up 3% to 5%. To answer your question on the market I don't think there's a real fundamental change in the market. You know it's lumpy in terms of tendering. And we feel very confident in our positioning with the market-leading technology. So I think this is just a continuation of our strength in the market. And as you know, as well Matt, some of these tenders come in and they're for multiple years. And that's what you also see reflected in the backlog. While we have very good visibility in the backlog some of those tenders are going to stay for six to 24 months in our backlog as we move to production. So again, a lot of confidence for the second half of the year, a lot of visibility to it and that's what led to our raise of the sales guidance. I think it's probably premature to talk about 2025 at this point in time.
Matt Summerville: And then maybe go over to CPI for a moment. You didn't tighten the guidance range there. maybe curious as to maybe a little more detail on what you're seeing in the four main verticals and I want you to definitely touch on retail, the performance in that business up mid-single digits during the period and kind of that outlook for the year sort of goes against at least directionally where some of the major OEMs are talking about their business noting one of which is sort of shifting their manufacturing strategy. So any perspective you may have on how that impacts or not CXT that would be helpful? Thank you.
Aaron Saak: Yeah. Sure Matt. Well again CPI as Christina mentioned, performed just as expected in Q2 from our perspective. Gaming continued the burn down of the backlog. And again we have very good line of sight to our inventory positions at our various customers. Let me take a moment just to talk about retail and then I'll hand it over to Christina to talk about the other end markets. For us retail we actually saw growth through the first half of the year. And we believe very strongly the long-term macro trends in retailers still in place which is driven by labor scarcity and the drive for retailers to implement more automation for their own efficiency and productivity. So we think that's unchanged. Now just a reminder, as I know you know Matt but to others we really go to market in retail through two channels. That includes the OEM channel some of the names like an NCR that I believe, you're alluding to given their announcements and also direct with retailers into custom self-checkout. So in terms of the OEM channel we have seen a slowdown in the first part of 2024 and we expect some softness there to continue. For us that have really been offset though as retailers are looking more at their own customization and configuring the systems differently and doing it themselves. And we've seen continued investment on the custom scope side of the market as they're moving away from standardized form factors. So when you put those two in balance again we've seen growth in the first half of the year. We think the long-term trends are in place but we do see a different channel mix that's playing out in the markets and that's globally. So maybe with that Christina I'll hand it to you to talk about the other verticals.
Christina Cristiano: Yeah. Thanks Aaron. And as Aaron said earlier, outside of gaming we saw the other verticals growing at mid-single digits and we expect that to continue. There's been particular strength in gaming, -- excuse me, in vending, which has performed consistently well, since COVID. And I'll also just highlight our services business which continues to perform well driving recurring revenue and a very high attach rate. Now in gaming we're encouraged by the orders we saw in Q2 from some of our OEMs not a significant change to what we were expecting but a slightly higher Q2 and that's more of a phasing impact and an impact on the full year. But overall we expect CPI to be in the same range that we previously communicated. So while we're encouraged by what we saw in Q2 we've left the overall sales guidance unchanged for CPI and we believe that's prudent and appropriately risk adjusted.
Matt Summerville: Great. Thank you, guys.
Operator: Thank you. One moment for our next question. Our next question will come from the line of Bob Labick from CJS Securities. Your line is open.
Bob Labick: Good morning. Thanks for taking my questions.
Aaron Saak: Good morning, Bob.
Bob Labick: Hey. So you started -- you alluded to this a little. Maybe we could dig in a little more on the OpSec integration process. Give us a sense of where you stand in integration. Any surprises you've seen good or bad. Maybe some color on customer reactions and then the opportunities for synergies both cost and revenue synergies looking ahead?
Aaron Saak: Yeah. Thanks Bob. As I said in my prepared remarks, we're very encouraged with the acquisition. And it's performing and the integration is going as planned. We're on track to that $80 to $1 million range for revenue in 2024. And I'd just reiterate the strong positive response we've had from our customers. Now we're in that phase call it 100 days in post acquisition to really meeting with customers building out the funnel of opportunities for both new wins but also share of wallet expansion with micro optics. And just a reminder, that that sales cycle is anywhere from nine to 18 months as customers have to go in and update their designs and then go through a launch and qualification process. So I would say it's going just as planned with a lot of healthy excitement. And I think more to come as we announced in the quarters ahead some wins. And on the operational side, again, CBS is such a core part of our disciplined operating process. We are heavily involved in offset deploying resources and training and starting to implement many of the actions that we had line of sight to as part of our investment thesis. So again I feel very confident in the line of sight to the $8 million of synergies, we promised by 2026 and confident we're going to get there, Bob.
Bob Labick: Okay. Super. I appreciate that color. And then kind of sticking with upsetting your M&A comments earlier. Obviously they're in a bunch of end markets, sports media, consumer, industrial, financial services, et cetera. But there's others pharma food and beverage and many more in authentication. And so are those other markets organic expansions? Or is that part of the M&A focus? How should we think about the future M&A as it relates to what you already have with OpSec and how will that fit?
Aaron Saak: Yeah, Bob. I think you're thinking about this exactly the right way is how we're thinking about it. Our immediate focus here just to reiterate is to successfully integrate and operate OpSec. That is the focus of the team. But with that said, we have a very strong funnel of M&A opportunities. We're continuing to cultivate. I feel very, very confident with the leverage sitting at 1.8 as we exited this quarter that gives us ample capacity. And we want to continue a really disciplined process around that M&A. And I think your comments on our focus is again how we're thinking about it. We see this as a large $3 billion TAM all in the security and authentication space. It's fragmented with positive growth dynamics of mid-single digit to mid-single digit plus and we see these opportunities for both bolt-ons of new technology into the core, as well as enhancing our exposure to different vertical markets, just a few of which you name whether that's consumer, pharma or governments. So that's exactly where part of our M&A funnel is focused. And we feel again confident we're in a very good position to take action again doing what we said we were going to do with one to two acquisitions a year.
Bob Labick: Super. Thanks a much.
Aaron Saak: Thanks Bob.
Operator: Thank you. Our next question will come from the line of Damian Karas from UBS. Your line is open.
Damian Karas: Good morning, everyone.
Aaron Saak: Good morning, Damian.
Damian Karas: It's nice to hear you've been outperforming some of the market trends especially in CPI. I was wondering, if you could maybe give us a sense of the progression of orders for the CPI segment through the second quarter and into July. And maybe if you could perhaps quantify what the order run rate on a dollar basis has looked like? I guess, if I'm just kind of looking at the backlog and the sales numbers in the second quarter, and I'm coming to something like maybe in the low $200 million. Does that sound about right?
Aaron Saak: I think you're thinking about it in the right geography there, Damian. Again if I think about gaming, the entire backlog of CPI as Christina mentioned has gotten back to where we would say are close to normal levels. There's always going to be some fluctuations quarter-to-quarter. But we're in the zone of where we think it's normalized. And in gaming, some of the OEMs have returned to ordering. Again that feels exactly in line with what we expected given the visibility into the backlog -- or excuse me to their inventory levels. And now we have this line of sight to the rest of the year to your question that we see continuing to progress with orders slightly skewed again to Q4. So I think the way you're thinking about that is directionally correct.
Damian Karas: Okay. That's helpful. And then in the currency business, I'm presuming for the US kind of the high watermarks the third quarter and then it's some of the international project activity that's going to drive, kind of, like the sequential improvement in the fourth quarter. And then I just wanted to ask on the -- so that equipment upgrade that's going to kind of happen 4Q and then into early next year. Is that going to be kind of like the last equipment upgrade and then start thinking about kind of sort of a pickup in the new design the new denomination later next year for the US business. Just want to make sure we're kind of thinking about that the right way.
Aaron Saak: Yeah. Why don't I take the first part and I'll hand it over to Christina for the second part of your question. So as we just think about the phasing of revenue for currency in the second half of the year. Again, the build of this backlog has given us a lot of confidence and line of sight to the shipment schedule. And that's why we have the confidence to raise the sales forecast. I think when you think about the phasing, it's going to be slightly higher in Q4 than in Q3 just in terms of revenue. And again, that's just what we see in terms of customer request ship dates. So again, a pretty high level of confidence on that. As it relates to the US upgrade cycle and kind of the phasing as we go forward Christina, I'll let you comment.
Christina Cristiano: Yeah. Just to answer the specific question, so this cycle that will start in Q4 and continue into Q1 of next year is the last one and it supports the entire new series. And we're on track with that program to kick off as planned. And that was aligned with our guidance and our target expectations for the full year. So no change coming from that production stop as it's already factored in.
Aaron Saak: I'd just add Damian on the 2025 and beyond, the new series design announcements. As we've always said, we have to allow the BEP and the treasury to make those announcements. Obviously, we feel very, very good about our relationship with them but they'll be making those announcements likely in 2025 on the actual phasing and design of the new currency.
Damian Karas: Terrific. This is very helpful. Thanks. I'll pass it on.
Aaron Saak: Thanks, Damian.
Operator: Thank you. One moment for our next question. Our next question will come from the line of Bobby Brooks from Northland Capital Markets. Your line is open.
Bobby Brooks: Good morning, guys. Thank you for taking my call.
Aaron Saak: Good morning, Bobby.
Bobby Brooks: Hey. My first question you guys gave a little bit of color on market share -- on the market share trends that you've seen in CPI and those -- your kind of leadership position in both specifically vending have continued to stay strong. But I'm just kind of curious if we could double-click on that and just get a little bit more granular. Obviously, there is some normalization within gaming given a competitor regaining a key certification. So maybe that shows like market share shift in there, but that's more so of a normalization. But I'm just kind of curious about that and just kind of maybe breaking it down by segment within CPI. And maybe the best way is just to help me compare and contrast those market share trends that you've seen within CPI now versus what you were seeing maybe a year ago?
Aaron Saak: Yeah. Well, thanks for that question, Bobby. I think it does make sense, we'll go kind of vertical by vertical for you. So in gaming, maybe I'll go back more than a year. We had a really fantastic position in the market that was enhanced over the past few years as one of our competitors struggled. And we believe we've maintained that share. And continue to be the provider of choice. So again, with high visibility into the major OEMs that buy our products and casinos that specify those products, we feel very good. So I wouldn't say there's necessarily a share shift that's occurred other than we've maintained and continue to be the market leader in the gaming vertical with good line of sight to how we think those orders are going to play out for the rest of the year. If I go to vending, again, we define that market from our perspective is vending machines, not convenience retail broadly, we don't include micro markets as an example in our TAM. We're really talking about vending machines in that form factor and the payment and telemetry and remote services that come along with that type of piece of equipment. So inside that market, again, we see it growing coming back off these COVID lows. Again, we've always had a very robust share in that market. We believe we've maintained that and continue to introduce new features both in cold vending, in dry good vending but also in coffee where we have a very strong offering particularly in Europe that we see growing and implemented more here in the United States. So from how we define this market and where we play and how we expect to win, we feel very good. So maybe I'll pause there Christina, if you want to take the other verticals.
Christina Cristiano: Yeah, sure. Well, I mean you spoke a little bit about retail earlier. And so I don't know that we need to dive too much more deeply into that. But I'll say we're off to a good start this year. The first half of the year as compared to last year is doing very well and that's largely related to custom retail projects that we're working directly with either integrators or directly with our third-party customers. And so projects that were delayed last year we're now seeing coming through and that's off to a good start. Again for the full year expecting mid-single-digit growth there. And just overall our services business which supports several of the verticals has been very strong had some solid new wins in the quarter and we expect that to continue growing at mid-single-digits as well.
Bobby Brooks: Got it. Thank you guys. That’s terrific color. And then just -- I kind of want to follow back up on Matt's question earlier and just more so looking at it from a sequential view. So, $100 million -- you guys had $100-plus million sequential increase in the Security and Authentication backlog. Could you just maybe flesh out how much of that was acquired backlog from OpSec? And then what was the international currency mix for that? I know you talked about it being at a record high. And then maybe just any -- if that sequential step-up in backlog, was there any benefit from new business from OpSec that you guys have won since taking ownership or any interesting product or authentication ones mixed into that.
Christina Cristiano: Yes, I'll take that one Bobby. And first I'll just say great execution by our currency team where we continue to win in the international currency market and that has led us to increase our sales guidance for currency for the full year. In terms of the breakdown of the backlog the majority of it is related to current international currency. And it's part of our disclosures. So, you see OpSec is approximately $30 million of the backlog at the end of the quarter. This quarter, as Aaron said earlier, we had several new multiyear orders, which will begin shipping this year. But that inflates that's really the primary driver of the inflation of the backlog over last year. And stay in the backlog now through 2025 and some going into 2026. So, overall, again, the strength in our backlog gives us high confidence in the full year targets.
Bobby Brooks: Got it. And then just one clarifying question. So, I know you guys talk about winning 10 to 15 new international denominations a year. In the prepared remarks, I think Aaron mentioned you've issued 11 new micro-optic denominations this year. So, I just wanted to clarify is that 11 number? Is that new international denomination wins? Or is that something different? And if it's something different how many international denomination wins have you gotten thus far this year?
Aaron Saak: Yes. Thanks Bobby. Let me clarify that. Well I would say overall we remain very encouraged by both the wins year-to-date and also the funnel that we have in progress for micro optics being considered in the design of new currencies. So, year-to-date through the first half we've had five new denominations on. That puts us I think very well on track for our target of 10 to 15 not only given the five we've won but what we see in the funnel. The 11 new denominations that went into production were previously won but now they're actually going into production in this quarter. So, just to provide a little more nuance on that definition.
Bobby Brooks: Perfect. Really appreciate it guys and congratulations on the great quarter. I'll return back to the queue.
Aaron Saak: Thanks Bobby.
Operator: Thank you. One moment for our next question. And our next question will come from the line of Ian Zaffino from Oppenheimer. Your line is open.
Q – Isaac Sellhausen: Hi, good morning. This is Isaac Sellhausen on for Ian. Thanks for taking our questions. I think most have been answered at this point, but just a follow-up on OpSec. I think you've previously noted OpSec set to be accretive to earnings next year. If you're able to -- maybe you could just provide some further details on the timing of that, and sort of the cadence of profitability and margins between the core currency business in OpSec heading into next year? Thanks.
Aaron Saak: Sure. So, I think Isaac as you reiterated, we did say it would be accretive starting next year. Obviously, I don't want to start to talk about 2025 guidance, at this point in time. So I will defer for that. But I think the key message here for us is that, we've been encouraged already in the first 100 days of how the business is performing and the integration going. Part of our investment thesis, or a big part of that thesis is that we will walk up the adjusted EBITDA margins from that mid-teens level to the 20s over the next few years, and that's driven both by the growth of the business, but the synergies that we see. And again, our confidence in the line of sight to those synergies is very high and that's going to drive the accretive EPS impact. And we will start to see that in 2025. But I just ask, we'll cover that as we do 2025 guidance.
Q – Isaac Sellhausen: Okay. Understood. And then as a follow-up on M&A, could you just comment on the environment and what you're seeing in sort of the core or adjacent markets that you're targeting, to reach that long-term target? And then as far as liquidity, do you feel that you have enough firepower to get a good-sized deal done? Or would anything large be funded by additional capital? Thanks.
Aaron Saak: Yes. Well, just in terms of the market, I would say, it's largely unchanged from the last few quarters from our perspective. We have a healthy funnel. We continue to prosecute and cultivate it. And again, I feel very confident we will be on track to do the one to two acquisitions every calendar year, as we said at the time we launched the company. All in the same themes, with a very disciplined approach, that I think is the key in the hallmark to our M&A like we executed with OpSec, like we've executed in the past, which starts with the market reviewing the company and making sure we can get the right valuation in a double-digit ROIC. Simply put, that's how we're going about it. I think liquidity, feels good to me 1.8 times. Again, we're looking at deals in that $100 million to call it $500 million range of revenue. We think we have ample fire power for those deals. And we want to be a compounder. So we want to keep this up on a pragmatic and continuous basis. And so that's what I would envision, you'll be seeing from us is a continuation of M&A flow in deals, we can get our hands around, drive rigor, drive the CBS discipline and generate the return for our shareholders. And so I would not see, doing anything other than paying that through our own free cash flow and leverage, no equity or any other more exotic means.
Q – Isaac Sellhausen: Okay. Great. That’s very helpful. Thank you so much.
Operator: Thank you. I'm not showing any more questions in the queue. I would now like to turn it back to Aaron Saak for any closing remarks.
Aaron Saak: All right. Thank you very much, operator. Well, Q2 was another solid performance for Crane NXT and it gave us confidence to narrow our adjusted EPS guidance, for the full year. And I especially like to thank all of our associates for their hard work, their dedication and their focus on serving our customers. It was evident in Q2, that it starts with our people. Also, I'd like to thank everyone who joined the call today and for your questions. We very much appreciate them. So, I hope you all have a great rest of your week and thank you for your time this morning.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect. Everyone have a great day.